Biz McShane: Good morning. And thank you for joining the Regis Second Quarter 2022 Earnings Release Conference Call. All participants are in a listen-only mode. The prepared remarks by our Interim Chief Executive Officer, Matthew Doctor, and Executive Vice President and Chief Financial Officer, Kersten Zupfer, are accompanied by slides to help participants follow along. After the prepared remarks, we will have time for questions. Please use the chat feature or raise your hand feature to ask a question. Also joining Matt and Kersten on this call is Jim Lain, our Chief Operations Officer. I am your host, Biz McShane, Vice President and Controller. As a reminder, this conference is being recorded. I would like to remind everyone that the language on forward-looking statements, including in our earnings release and 8-K filing also apply to our comments made on the call today. These documents, along with our presentation today, can be found on our website, www.regiscorp.com/investorrelations, along with a reconciliation of any non-GAAP financial measures mentioned on today’s call with their corresponding GAAP measures. Today's slides are located in the supplemental financial section of the investor site.  With that, I will now turn the call over to Matt.
Matthew Doctor: Thanks, Biz. Good morning, everyone. Let me just start by saying how excited I am to be given the opportunity to step in as interim CEO here at Regis. Since I'm new in this role, let me share a bit about my background before I discuss our second quarter performance, and why I believe we are well positioned for future growth . Additionally, I'd like to spend more time on this call than we have historically showing what this business can deliver on a more normalized go-forward basis, given the many actions we've taken in fiscal 2021 and our move to a fully franchise model.  We've made many announcements over the course of the past year regarding organizational changes, product distribution model changes, our operating company wind down, the rollout of Opensalon PRO, our G&A guidance, but we've never quite tied that all together into what that means from a profitability perspective. And I think we owe that to you all.  I will also discuss our priorities to continue to drive our business forward. By way of background, I started my career as an investment banker in New York. After spending several years there, I looked to do something completely different and ended up in entering the world of franchising and I haven't looked back. I joined the Restaurant Brands International in 2014 and held several roles there, mainly focused on development and franchising, having led global development and franchisee performance for the Burger King brand, as well as leading development efforts for Tim Hortons.  While I was progressing my career, I always had in the back of my mind the desire to be an entrepreneur. I just never knew what the opportunity would look like. And then it hit me. After years of selling the benefits of large scale franchisee ownership and working inside a large, global franchisor, I decided to step on the other side of the table and become a franchisee in the Tim Hortons system. So, I've had the unique opportunity of being both the franchisor and the franchisee.  I became a franchisee in 2018. And my partners and I grew to 83 restaurants, ultimately culminating in the sale of most of our restaurants at the end of 2020. After the sale of our restaurants, I ended up joining Regis, initially as a consultant. And as a consultant for Regis, I saw a platform with tremendous potential in an industry that, no doubt, has been hit hard by the pandemic, represents a fundamental need.  I became so energized by the opportunities here that I wanted to be part of helping Regis navigate this unprecedented time. And I started full time in February 2021 as Chief Strategy Officer.  In addition to my background, there's some other qualities I'd like you to know about. I believe in respect and transparency. You can expect to hear a balanced view on the things that are going well and the challenges that we're facing. I'm also big on accountability. I'm big on execution.  Turning to our second quarter results. We're still very much dealing with the same themes we've touched on in previous calls. Our sales recovery continues to be challenged by lower active stylists and customer counts compared to pre-COVID levels. Our priorities are built around addressing each of these items, as we have encouraging data that validates that salons have demonstrated a greater number of active stylists and/or retention of existing customers of sales that are back in line with 2019 levels. We have significantly reduced our operating losses for the quarter, even with our remaining company owned salons and product business sales dampening our performance. With that being said, the shift in our business model and initiatives we've taken in fiscal year 2021 are really starting to come to light in our current results. In the second quarter, our Franchise segment, which represents our go-forward business model, had a profit of $5.5 million for the first time since the pandemic. That segment turned a profit during a quarter where we saw two-year comps down 17% and OSP only 44% rolled out in the US salons.  While our results did not meet our expectations, this is an encouraging step forward and shows the potential of the new asset-light franchisor model.  Now, I'd like to share why I believe this company has such exciting growth prospects and is well positioned for the future. Yes, we are no doubt in a challenging time. But I'd like to take the time to reframe the mindset and recognize all of the things that we have going for us.  First, we have scale in an industry that represents a fundamental need that is not going away. We have well-known brands with years of equity behind them. We collectively have a large network of stylists. Given our size, we have inroads at beauty schools, we have scale and large presence in real estate. We have a relationship with Walmart as one of their largest tenants. We have a proprietary technology platform and we have seasoned operators and a large franchisee base.  Within all of these elements, there's an equation to meet the stylist needs and consumer demands, as well as enable the flexibility necessary to succeed in this ever-changing environment.  Second, I have inherited a great, committed team. I know there's been an evolution of this management team over the last year, but I think I can speak on behalf of all of them when I say we are in a good spot. We have complementary skill sets who represent a mix of new players and legacy knowledge and, most importantly, we trust each other. And through all the changes, our employees have remained incredibly resilient, and I am grateful to be on this journey with everyone here at Regis.  Third, we have an extremely dedicated and passionate franchisee base. These last few years have not been easy. And given Regis' changing business model, the majority of our salons moved from corporate to franchise either right before or during the pandemic. Our franchisees have worked tirelessly to run their businesses during the most difficult environment for our industry. And that needs to be recognized. The success of our franchisee base is of paramount importance and the key driver to the success of Regis, and I look forward to working closely with them and strengthening our partnership, ensuring that we incorporate their feedback along the way. Our goal is to enable franchisees to maximize profits, which in turn helps drive Regis.  Finally, we have a transformed business model, which will ultimately lead to more predictable revenue streams and cash flow generation.  I think it's important to revisit the key accomplishments during 2021 that finalized our business transformation and sets the stage for the future. First, we wound down our operating company from over 1,600 salons to under 150 that are remaining today. This was a business that lost Regis $43 million of EBITDA in fiscal 2021 and drove a major use of cash during the pandemic as we were unable to qualify for any PPP loans given our status as a public company.  We implemented G&A savings to the tune of around $10 million. We exited a product distribution business, started become a financial and logistical challenge. And we began the rollout of Opensalon PRO, or OSP as we call it, that is now operating at over 2,000 of our salons.  I understand that a lot of these items relate to EBITDA loss mitigation and cost cutting. However, in a year of uncertainty, we had to focus on the items in our control that also coincide with the future of our business. The culmination of these efforts resulted in over $50 million of EBITDA savings based on our fiscal 2021 results. And as I mentioned earlier, we're starting to see this come to bear in our Q2 2022 results.  Before I share a little bit more and go into what our normalized business can achieve and our current priorities, I'd like to turn the call over to Kersten to dig a little deeper in our second quarter results, after which I'll return post Kersten's remarks to discuss these items. Kersten?
Kersten Zupfer : Thanks, Matt. And good morning. Yesterday, we reported, on a consolidated basis, second quarter revenues that reflect our transition to a fully franchise business model and the continuing impact of the pandemic on the labor market.  Total revenues of $70 million declined $34 million from the prior year due to 97% of our salons being franchised now compared to the 84% in the prior year. Second quarter revenues were below our expectations and reflect continued labor shortages and the persistence of the pandemic.  We are encouraged by salons that have increased stylist hours quarter-over-quarter and have seen their sales improve. For example, 20% of our salons increased hours by 10% and saw approximately a 10% increase in comps. As Matt noted, addressing labor issues is one of our top priorities.  Our systemwide revenue, which includes total sales at franchise and company owned salons, increased $43 million from prior year, driven by an improvement in comparable same store sales of 22%. On a two-year basis, a comparison to pre-COVID, systemwide comps were down 17% in the quarter.  We reported an operating loss of $1 million during the quarter, which is a significant improvement from an operating loss of $27 million in the prior-year quarter. The improvement results from an increase in systemwide sales, our G&A savings initiatives, wind down of our company-owned salons, and a few one-time non-cash benefits.  On an adjusted basis, second quarter consolidated adjusted EBITDA was $2 million compared to a loss of $18 million in the prior year's quarter. Adjusted EBITDA improved due to higher operating income, higher systemwide sales and lower costs. Additionally, the quarter benefited from a couple of non-cash benefits amounting to approximately $3 million that we do not expect to reoccur next quarter.  Our core Franchise business achieved adjusted EBITDA of $5.5 million compared to a loss of $6.8 million in the prior year. We are pleased to see positive EBITDA in results which reflects the cost savings initiatives we have undertaken. We do caution that the pandemic and, in particular, the Omicron variant will likely impact the third quarter. But to an extent, we cannot predict.  The company-owned segment recorded an adjusted EBITDA loss of approximately $3 million, including a charge to increase the inventory reserve by approximately $1 million. Our cost structure is nearing what we expect in terms of a go-forward run rate. We completed the exit of our distribution centers in the quarter and reorganized our salon support operations to better serve our franchisees and reduce costs.  Second quarter G&A benefited from a reversal of stock compensation expense in the quarter of approximately $2 million and other one-time benefits of approximately $1 million in the quarter. We continue to believe our end state run rate G&A will be in the range of $65 million to $70 million annually, likely at the low end of that range. And we expect we will achieve that level in the fourth quarter. Turning to liquidity. As of December 31, we had $138 million of liquidity, including $82 million of available revolver capacity and $35 million of cash. Our net available liquidity as of December 31 was $63 million, which reflects our minimum liquidity covenant requirements and the permitted add back of the shortfall in certain refranchising proceeds in accordance with our credit agreement. Our liquidity provides us with sufficient operational and financial flexibility to navigate the recovery and operate as a pure asset-light franchisor.  In the second quarter, we used $12 million of cash from operations, which is consistent with our cash use in the first quarter. Included was $2.5 million of social security contributions we remitted in December that we had deferred as part of COVID relief and the executive bonus related to fiscal year 2021. We expect our cash used in operations to continue to decline in the second half of the year due to our lower cost structure.  We believe Regis is poised for a return to growth and sustained profitability as we emerge from the pandemic and look forward to continued recovery in the second half of the year.  This concludes my prepared remarks. I'd like to thank you for your continued support and interest in Regis. And I'll now turn the call back to Matt.
Matthew Doctor : Thanks, Kersten. As I mentioned earlier, I'd like to frame what this business looks like on a normalized go-forward basis and how we get there from here. This is what gets our internal team excited and certainly relevant for you all to know.  I also want to be clear, this isn't a model that calls for any major shifts or additional change, but rather what EBITDA looks like assuming the exact platform and infrastructure we have in place today, assuming we at least maintain our current store count, get back to 2019 sales levels, as this is a pre-COVID sales level that we've demonstrated being able to achieve, and assuming we complete the rollout of Opensalon PRO. Starting with royalties. Taking our current franchise salon count to 5,553, if these salons get back to within 10% of 2019 levels, resulting royalties are $76 million. If the salons achieve plus 10% versus 2019 levels, resulting royalties are $92 million.  Moving to fees, which primarily consists of Opensalon PRO, franchise fees and product rebates from our distribution partners. At the full rollout of Opensalon PRO at set monthly rate, plus the franchise fees and product rebate fees that are currently flowing through our P&L, the resulting revenue is $22 million. For this exercise, we'll assume that our legacy company-owned salons and distribution business are wound down, so no financial impact here.  And lastly, our cost structure. We've given guidance that G&A is generally going to be between $65 million and $70 million. And as Kersten mentioned, we feel confident, and as in our latest results, that this will come in closer to the lower end of the range. I also want to reiterate this G&A includes both the corporate resources for our franchise business, as well as the infrastructure for Opensalon PRO.  Layering on corporate rent, G&A and corporate rent equals approximately $68 million.  So bringing this all together, our EBITDA at minus 10% versus 2019 sales levels to plus 10% of 2019 levels is $30 million to $46 million and demonstrates strong margin. I want to reiterate again that this is not guaranteed and the timeline is predicated on us, one, keeping our current salon count; two, getting back to those 2019 sales figures; and three, rolling out of Opensalon PRO, all of which are fundamental aspects of our business. But there are certainly challenges and risks to achieving these results.  There is work to be done. But the exercise is maintaining what we have and returning to where we've been. Anything beyond this is potential upside.  So how will we continue to stabilize and return Regis to sales growth and profitability? Let me walk you through our six key priorities. First, starting with our capital structure. Our bank debt maturities in March of 2023 makes our capital structure a key initiative. And we're currently evaluating alternatives to address it with our advisors to help seek out new capital, including both sources of debt and/or equity.  Next is continuing our exit of the remaining corporate salons. This wind down consists of multiple strategies. One, our current deal pipeline, negotiated lease buyouts, ceasing operations to the extent possible, and closures at lease expiration. Our current pipeline of deals and negotiated buyouts should have us around the 100 salon mark in short order, with the remainder either running off or being negotiated out of.  Shifting to our brand priorities. And it should be noted that, while all of these are meant to drive near-term results, they are absolutely fundamental to our longer-term strategy as well. I also want to note that, within these priorities, there is still groundwork to be done to bring some of these initiatives to life, which will take some time. But that said, the drivers of this business are clear and we should not look to overcomplicate them.  And foundational to all of these initiatives is strengthening our franchisee relationships. We need to ensure we are closer than ever to the franchisee community and provide them the support needed. We are working to incorporate their feedback into our initiatives as building back during this environment is going to look way different than the past.  Given our day to day business is in their hands, it is critical to work their feedback into our brand building strategies and executing with them shoulder to shoulder. I've been on the road and will continue to be meeting with our franchise partners and pushing forward to establish a best-in-class franchisor/franchisee relationship. Given the challenging labor environment and how core stylists are our business, recruiting and retaining stylists is a key priority. We want our salons to be a place where stylists want to work and earn a competitive wage. We need to fill the funnel with a pipeline of stylists, convert them quickly from application to offer and retain them through salon culture and training.  To fill the funnel, we're currently leaning on recruitment marketing efforts as well as leveraging our scale with beauty schools. To convert them quickly from application to offer, we rolled out an AI recruitment tool that sits on social media and major hiring platforms that remove application barriers, making it seamless and easy for franchisees to interview and make offers to stylists that apply through the tool. We have learned that, in this competitive labor environment, that speed is the key to hire. And we now have the majority of our salons signed up on this platform.  Lastly, we need to retain the stylists that we have. Efforts on this front will be built around brand standards to drive strong salon cultures, as well as ensuring training platforms that provide ongoing and relevant training, which is key for stylists and their career journey. Our goal is to make the job of the stylist as easy it can be, provide opportunities for career development, and become a preferred destination to work.  Our fourth priority is driving customer traffic, which will be driven by marketing and customer experience. On the marketing front, the immediate opportunity is to retain the customers who are currently visiting our salons. We have an opportunity to convert our national customer counts to more repeat business, which will help increase traffic in the near term with broader brand building strategies for new customer acquisition to follow.  On the experience front, we'll be rolling out and upholding uniform brand standards and guest satisfaction metrics. Measuring and ensuring adherence to these standards will be key to uphold our brand promises and solidify our value proposition.  Our salons need to be a place where customers look to visit for a quality, convenient haircut with strong value for money. Brand standards will include things that relate to salon culture, guest experience and stylist training, all designed to deliver quality haircuts with a seamless, differentiated customer experience.  Our fifth priority is technology. We are very excited about our proprietary Opensalon PRO platform. This is a great tool that is intended to provide data for us to analyze each of our brands and drive marketing strategies, enable our franchisees to run their salons in a more streamlined way with real time access to their business on the go, allow stylists to focus on what they do best which is hair, and provide a differentiator to our customers, making it easy for them to book and pay.  We view this as another key equation in the value proposition for our salons. The adoption curve for OSP has slowed down in the recent months. And that is because after having Opensalon PRO operating in our franchisee businesses, we've received constructive feedback as to what OSP can be doing better to work inside their salon operations. We need this platform to meet the franchisee business needs. So, we're taking their feedback and working it into our current roadmap.  We also have been looking into a more effective adoption option from a cost perspective. Until now, OSP has been coded to work on a singular tablet device. So, we are pleased that we will soon be offering a Web-based alternative that can be ran on existing franchisee hardware, eliminating the need for a tablet purchase. This feature, combined with ensuring best-in-class functionality, should enable us to ramp adoption back up. But it is of particular importance to me that we are rolling this out in lockstep with our franchisees.  Our final priority relates to Regis and our brands. While we are busy driving our near-term performance, we also have a unique opportunity in front of us to reassess our salon brands and ensure they are relevant to today's consumer. We have the opportunity and duty to innovate and respond to a dramatically different marketplace to meet the needs of customers and stylists.  The reason stylists work for and customers visit our brands may be shifting in real time. We want to be at the forefront and assess the strengths and potential weaknesses of our brands, fill gaps accordingly, and then build marketing strategies that take all of these dynamics into account. I look forward to keeping you updated on our progress.  Tying together our go-forward business model and priorities, I am very excited about the potential for Regis going forward. The combination of our fiscal 2021 initiatives and getting back to 2019 sales levels has a potential to drive a $38 million EBITDA business at the midpoint of the range provided, with incremental sales and net salon growth adding potential upside.  We expect the balance of this year to be about recovery in progress. The hair services market is continuing to be impacted by the pandemic and is not fully back. Labor is a challenge and we will continue to experience the costs associated with our fiscal 2021 actions.  But our transition to a franchisor model is complete. The benefits of our fiscal 2021 actions are taking hold. And we have clear priorities to continue to improve our performance and leverage our leadership position in the industry. As I mentioned earlier, I am very grateful to be in the position to lead Regis and provide some insights about the potential and what has I so excited for the future.  Thank you for joining us on our call today. I will now turn the call back over to Biz to lead us through any Q&A.
A - Biz McShane: Our first question through the Q&A is, can you please speak to your plans for recruiting and retaining stylists?
Matthew Doctor: As I kind of mentioned through our top priorities, this is a key one as it relates to our brand and brand growing initiatives. And for the stylist, it's all about becoming a preferred place for them to work in a destination there. And it's not just hiring new, but we have to retain the ones we have as well. So, the key initiatives we have are around making life as easy as possible for them in the salon. And that can be done through technology, creating a great environment and culture for them to work in, providing those career development opportunities through training. Our training platforms need to be best in class and we need to not only provide that training on the job at the start, but also kind of the continuous ongoing career development and progression training, which is pretty differentiated to get inside of a salon environment.  Also, just things that we can do to fill the pipeline and hire quickly. Beauty school enrollment is back up. So we need to ensure that we're ahead of that, leveraging our scale, getting back into beauty schools and ensuring we're converting stylists at a higher rate to work in our salons. And also, just giving them an environment where they can make good money and earn a competitive wage. So, those are the things we're working on. We're working on these with our franchisees. We're receiving feedback all the time and look forward to bringing these to bear and use this as a tool to recruit new and retain the ones we have.
Biz McShane: Our next question from the chat is, what obstacles exists to the total adoption of Opensalon PRO? If a franchisee is resisting, what reasons are given?
Matthew Doctor: No, that's another good question. And again, as I mentioned, just top of mind here is the intent of OSP is a great one. For us to have this and build this out, to provide a differentiator for our salons in a world where value proposition is key. And that is really going to be filled with salon culture, customer experience and ultimately technology. So, to have this is a great tool to have, but it needs to meet the reality of what we're intending it to do.  And as I said, now that it's actually been working for the last several months in franchisee businesses, there has been feedback of things that we could be doing better to ensure this meets their operational needs, it is meeting exactly what it is they're expecting, things from back office tools and for greater integration there, things as it relates to checking in and the nuances between appointments and queue times. So again, all these things that are great points. And we want this to be something the franchisees want, not something that we're just pushing onto them.  So, what we've done is we've taken the feedback, taking it back, and the good thing is the fact that we do have this platform and we do control the development roadmap that we can work that in and quickly solve those issues. So, between quickly solving those issues and the new rollout of the Web-based POS system, which will be a really great cost effective option to be rolled out, these are the two things and continuous iteration with the franchisees around this just to ensure the product is working as it should be is going to be the path forward here.
Biz McShane: We are now going to take a live question from Grace Menk from Jeffries.
Grace Menk: So, a couple of questions actually. Firstly, on the system sales, just want to check in and see where we're at on an AUV basis relative to the pre-pandemic levels.
Biz McShane: I can take that grace. So, as we mentioned in the script, on a two-year stack, we're down approximately 17% to pre-COVID levels.
Grace Menk: On the fees revenue, are you able to break out how much of that is the tech fees versus the franchise one-time rendition fees?
Biz McShane: Grace, as it relates to Matt's deck, is that what you're talking about? Are you talking about the…
Grace Menk: Either one in the kind of the forecasts that you're looking at or in the current quarter. That would be helpful.
Matthew Doctor: It's Matt here. So, on the go forward fees, we're talking about the $22 million bucket, so around half of that is, call it, Opensalon PRO tech fees. Maybe roughly around a third or a little less than a third are comprised of the franchise fees. And the rest are, call it, product rebates and training.
Grace Menk: Lastly, the G&A that you're talking to as a run rate puts you at a level that we had expected. And I think you had signaled previously to be 6, 12 months out from today. So we're kind of wondering if you could just elaborate a little bit more on the cuts you're able to find? Were you able to just trim things earlier? Or did you find new areas to cut costs?
Biz McShane: No, the guidance that we've given previously, the $65 million to $70 million, I think we've been able to narrow that down to the lower end of that range. And we had always had that expectation that we'd be hitting that run rate in Q4 of this fiscal year. So, as you know, we continuously evaluated G&A at the end of the last fiscal year, throughout this fiscal year, but it is meeting our expectations in terms of when we thought we would be there. 
Matthew Doctor: It's Matt. When we put out that range, we felt that we would always be kind of in that lower end of the range. And after kind of going through a few quarters and living it, we feel way more confident that that's where we're going to be.
Biz McShane: Our next question coming through the chat is, can you talk about driving more traffic? And how will the marketing and advertising be paid for?
Matthew Doctor: This is a big one that goes hand in hand with stylists. It's one thing to bring the stylists back. But it's walking that road to ensure that we have the customer demand there as well. And I think some of the numbers that we look at gets us very excited, is we actually have pretty good natural occurring traffic levels that are low hanging fruit for us to go after.  What we've seen is we haven't necessarily done as great of a job of retaining the existing customers we do have. So, when we think about near term traffic drivers, there's a really big opportunity for those that are coming within our salons to come back within 90 days. We're seeing a bit of a drop off there versus pre-COVID levels. This is kind of in the below 40% range today. Whereas pre-COVID, this was 50 plus. And those salons that we see that have that 90-day retention level kind of in that 40, 50, 60, 70 plus level are at sales levels back to those to those 2019 levels. So, as we think about where we should put effort in, it's encouraging that we have natural traffic. So, when we think about marketing dollars and ROI is going to attract traffic, we can move that 90-day retention number up through targeted ads, through CRM campaigns, through continuing the chats and the customer journey when after they leave their salons and really give them reasons to come back.  There's just constant communication being top of mind when that decision is made to get a haircut or to provide promotions to incentivize them to come back to that extent time has lapsed. The fact that we can move the existing traffic we have will go a long way into addressing kind of the near-term traffic levels. There's a good thing about that, too. Not only does it help with the near term, but converting those customers to repeat retained folks for the long term is foundational to and helps reset the baseline. So, when we add new and keep retaining the new then, they start building on each other. So, this is a big kind of near term priority for us as it relates to near-term traffic drive.
Biz McShane: Thank you very much, Matt. Those are our questions for today. Thank you for joining the Regis earnings call. Have a wonderful day.